Operator: Good day, and welcome to the Lee Enterprises' 2024 Third Quarter Webcast and Conference Call. The call is being recorded and will be available for replay at investors.lee.net. At the close of prepared remarks, there will an opportunity for questions. [Operator Instructions] A link to the live webcast can be found at investors.lee.net. Now I will turn the call over to your host, Jared Marks, Vice President of Finance.
Jared Marks: Good morning. Thank you for joining us. In addition to myself, speaking on this morning's call are Kevin Mowbray, President and Chief Executive Officer; and Tim Millage, Vice President, Chief Financial Officer and Treasurer. Earlier today, we issued a news release with preliminary results for our third fiscal quarter of 2024. It is available at lee.net, as well as major financial websites. Please also refer to our earnings presentation found at investors.lee.net, which includes supplemental information. As a reminder, this morning's discussion will include forward-looking statements based on our current expectations. These statements are subject to certain risks, trends and uncertainties that could cause actual results to differ materially. Such factors are described in this morning's news release and in our SEC filings. During the call, we refer to certain non-GAAP financial measures. Reconciliations to the relevant GAAP measures are included in the tables accompanying the release. And now to open the discussion is our President and Chief Executive Officer, Kevin Mowbray.
Kevin Mowbray : Thank you, Jared. Good morning, everyone, and thanks for joining our call this morning. I'm delighted to share that we've made significant progress in our digital transformation. In the third quarter, each of our digital revenue streams grew year-over-year, and we effectively managed costs. In our last call, we told you digital revenue had surpassed print revenue in the third quarter. I'm happy to share that our third quarter operating results achieved this digital revenue inflection point. This marks an important milestone in our digital transformation as it reduces our reliance on print. It's also important as the volatility of the print business is the driving force behind the updates and our adjusted EBITDA guidance that Tim will share more on in a few minutes. Another reason the inflection point is important is with nearly two thirds of the company's gross margin derived from our digital businesses, we are approaching our goal of being sustainable from our digital products only. Nearing digital sustainability is a testament to the progress we've made on our three-pillar digital growth strategy. We remained an industry leader in several key digital categories. We're the fastest-growing digital subscriptions platform in local media from both a revenue and subscriber perspective. Our digital subscription unit growth has outpaced industry peers since we first implemented our digital transformation strategy four years ago. We now have more than 748,000 digital subscribers, which is up a significant 23% compared to the prior year. We've also generated consistent and significant revenue growth from digital subscribers. This revenue category has grown 43% annually over the last three years, nearly doubling the nearest industry competitor. Simply put, we're growing digital subscribers faster than anyone else, while demonstrating higher value to our readers and executing price increases to our digital subscribers. This clearly demonstrates our distinguished presence in local markets as well as the strong demand for the valuable content we provide. We've expanded the amount of local news content delivered to our readers, ultimately to give them more opportunities to engage and subscribe. We've strengthened our community connections and we are committed to the leading conversations throughout the communities we serve. Publishing local news content reflects the people and the work they do to uplift their communities is the driving force behind our digital subscription business. Our hyper-local content is a key driver to our digital transformation as our content provides the most robust monetization opportunities through subscriptions, advertising, potential content licensing agreements and other opportunities. Our digital agency, Amplified Digital grew 12% in the third quarter and annualized revenue of Amplified Digital is more than $100 million. This represents an outstanding 37% annual growth rate over the last three years, far outpacing others within the industry. The industry-leading growth rates in these revenue streams are driving our digital transformation. Total digital revenues has grown to $290 million over the last 12 months, a 17% growth rate annually over the last three years. This digital growth has driven rapid change in our revenue composition, helping us to achieve the revenue inflection point I mentioned earlier. Our commitment to digital transformation yielded strong digital results this quarter seen most clearly by each digital revenue stream growing year-over-year. Digital advertising revenue reached $50 million and achieved year-over-year growth at healthy margins. Amplified Digital Agency, which is a subset of our digital advertising revenue totaled $26 million and grew 12% year-over-year. Digital subscriptions revenue totaled $21 million and grew 34% year-over-year at the highest margins in our digital portfolio. Our digital revenue is diverse, growing and highly profitable. Of note, we're not reliant on any one stream of digital revenue, but rather a collection of profitable and growing revenue streams. We're headed to surpass the revenue inflection point this quarter. This important milestone demonstrates the success of our strategy thus far to the growth of our digital revenue streams and reduces our reliance on print. We made great progress on our digital transformation over the last few years. Digital revenue has grew more than 17% annually since FY '21, and that's translated to a 14% annual growth rate in digital growth margins or the same three-year time span. Our digital margin is also impressive 72%, meaning our digital businesses are highly profitable. Replacing print revenue and growing a profitable digital revenue will help us achieve our long-term digital sustainability. We expect by 2026, gross margin from our digital products will exceed the company's remaining SG&A costs. So definitely within two years, we expect revenue from our digital businesses to cover all of these cash profits, excluding print. The growth in our digital businesses is expected to accelerate as we're still scratching the surface of the addressable digital subscription and digital services marketplace. It's quite exciting to see how close we are to being sustainable from our digital revenue streams. I'll show more updates in the coming quarters regarding our progress towards this digital milestone. But for now, I'll pass it over to Tim to talk more about our quarterly results.
Tim Millage : Thank you, Kevin, and good morning all. As Kevin noted, we're quite pleased with our business momentum and the progress we have made this quarter on our digital transformation, and this is reflected in our financial results. Total operating revenue in the third quarter was $151 million. These results represent a marked improvement in same-store revenue trends, representing a 150 basis point sequential improvement. Looking to the digital business, total digital revenue growth continued at a strong clip, up 9%. The primary driver of the growth was our digital subscription revenue, which increased 34% year-over-year. Digital subscribers grew an impressive 23% and digital-only ARPU had a strong year-over-year growth as well. We also saw improvement in digital advertising revenue within our own and operated digital products and our Amplified Digital revenue delivered double-digit growth in the quarter. We're quite pleased with the digital momentum gained in the quarter, and we expect it will continue. On the print side, total print revenue declined 22% year-over-year, but representing a modest sequential improvement over the second quarter trends. On the expense side, we've managed our costs carefully leading to cash costs in the quarter being down 8% compared to the prior year. All of that led to adjusted EBITDA of $15 million in the quarter. Lee has a highly successful track record of effective cost management. In fiscal year '24, our business transformation efforts will yield between $75 million and $85 million in cost savings. While we remain focused on operational excellence, reducing our cost structure of our legacy print business and growing profits, our main priority is to drive long-term sustainable digital revenue growth. Therefore, we continue to invest in talent and technology in the areas of our business tied to our digital future and our commitment to high-quality and hyper-local news remains primary. As we progress with our digital transformation, we will continue to keep you updated on our digital investments as there is an exciting pathway ahead. Next, I'll move to the balance sheet. The principal amount of debt decreased by $3 million year-to-date and totaled $453 million, a $123 million reduction since March of 2020. Let me remind you that our credit agreement with Berkshire Hathaway, our sole lender, has very favorable terms that are incredibly important as we execute our strategy. The longevity of our debt is a strategic advantage for us, as it enables us the flexibility to make the necessary investments in talent and technology that is fueling our digital growth and will achieve our digital transformation. The agreement was executed in 2020, has a fixed interest rate and a 25-year maturity. These favorable terms have been quite beneficial in a rising rate environment we have seen over the last few years. We continue to identify opportunities to monetize our non-core assets, which facilitate accelerated debt reduction. We closed nearly $7 million of asset sales year-to-date and have identified an additional $25 million of non-core assets to monetize. While we cannot be sure of the details we will close, we do expect approximately $10 million of sales to close by the end of the fiscal year. I'd like to point everyone to our 2024 outlook for total digital revenue, digital subscribers, cash costs and adjusted EBITDA. We remain on track to deliver our total digital revenue and digital subscriber targets for the year. Improving digital advertising market and the potential for incremental spend due to competitive political races in our markets has us poised to achieve within the range of total digital revenue. Digital subscriber growth continues on pace with our full year expectations, and we expect to end the year with 771,000 digital subscribers. We are improving cash cost guidance in the range of $550 million to $560 million, and this represents a $20 million improvement on the low end, as we have been working towards -- that reflects the tightening of our operating expenses tied to our persistent print revenue declines. We are updating adjusted EBITDA outlook to $73 million to $78 million, and this change is the result of the lagging print business and reflective of the incremental cost reductions we have taken in response. And with that, I will turn it back to Kevin.
Kevin Mowbray : Thanks, Tim. To reiterate my excitement about performance this quarter, we believe we are on a solid ground that reflect both a notable and sustained momentum in our digital transformation. Our investment thesis is founded on our three-pillar digital growth strategy, which is guiding us on our digital transformation journey. Our progress thus far has been a total team effort, and I want to express my genuine gratitude to the entire Lee team. We believe there's tremendous opportunity ahead for us, and we're well positioned to capitalize on this quarter's momentum moving forward. Under the guidance and oversight of our board of directors, our leadership team's continued execution of our strategy, sets the stage for significant long-term value creation for our readers, users, advertisers and shareholders. This concludes our remarks. The team will remain on the line for any questions you may have. Operator, please open the line for questions.
Operator: Thank you. At this time, we’re conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Daniel Harriman from Sidoti & Company. Daniel, your line is open.
Daniel Harriman : Thank you. Good morning, everyone. Guys, congratulations on the digital inflection as you have there. Obviously, we understand the reason for the EBITDA guide down with the print decline. But it seems like you're doing a lot of great work on the cost side, and you're expecting, obviously, like you said, $75 million to $85 million in savings this year with the transformation. Can you just remind us a little bit more about what goes into that?
Tim Millage : Yeah. Thanks, Daniel. As you pointed out, we do have a significant -- a good track record of managing our costs, and we do have about $75 million to $85 million of business transformation baked into our forecast for FY '24. We have a significant number of print expenses, operating expenses, and we certainly monitor those expenses to ensure that our costs are in line with those revenue streams. And to that effect, with the persistent acceleration decline of print, we have improved the cost guidance by $20 million on the low end, and that reflects tightening costs, primarily within the print business. All of that aligns and speaks to the importance of our digital transformation. And you mentioned the inflection point, I think that really is an important milestone as it positions us well to be less reliant on the volatile print business going forward and also demonstrates a significant change in the mix of our revenue and our gross margin to be more sustainable and growing.
Daniel Harriman : Okay, great. Thank you so much, Tim. And then just one more, if I can quickly. With the asset sales that you've identified the $25 million in non-core assets, obviously, you're projecting to close a decent amount of those this year. For the balance that you can't close in '24, is it safe to assume that, that will close in '25? Or is there too much uncertainty surrounding that right now?
Tim Millage : Yeah. I think there's always uncertainty with commercial real estate, but we are optimistic that we can get the remaining assets closed in 2025. I do think a lowering of interest rates will be helpful. Lowering of construction costs will be helpful as we start to see some more investment into commercial real estate on the horizon. So we are optimistic that we can get the remaining amount closed in '25. And the $25 million is not the top end. We're going to continue to evaluate our real estate portfolio and work to increase that amount going forward as well.
Daniel Harriman : Great. Kevin and Tim, thank you so both so much. And look forward to see what you do in the coming quarters.
Tim Millage : Thanks, Daniel. We have no questions from the web. So I'll turn it back to Kevin for closing remarks.
Kevin Mowbray: Well, thank you all for joining the call this morning. We appreciate your time and your interest in Lee. Thank you again.
Operator: Thank you. At this time, we've reached the end of our question-and-answer session. This concludes our call.